Operator: 
Michael Benstock: Thank you for the introduction, operator, and welcome, everyone, to our call. I'll start by discussing evolving market conditions, followed by a review of our third quarter consolidated financial highlights as well as our revenue performance by business segment. Then Mike will take us through a more detailed review of our financial results before we're joined by the President of our Branded Products business, Jake Himelstein, to take questions. Our third quarter earnings were solid, came in as expected, and represents sequential improvement from the second quarter. Also, today, we're adjusting our full year revenue outlook range to reflect a higher midpoint. As we pointed out last quarter, we had a significant pull forward of branded product revenues into the second quarter of this year. In addition, as you know, we had a very robust quarter 1 year ago for the many reasons we've discussed at the time. Both these factors affect the year-over-year comparison we reported today, but again, this was as expected, and we continue to execute and show sequential progress with pipelines that continue to build. Currently, there is still a significant level of uncertainty and caution among our customers and potential new prospects across all of our business segments. This has caused a significant uptick of promising near-term opportunities in our pipelines. And as our prospective customers gain clear insights into trade policies, inflation, and interest rates, we will be well positioned to achieve stronger growth with solid margins. We remain committed to leveraging our sales capabilities effectively while maintaining tight expense management in this uncertain environment. Let's review our third quarter results, which reflect our successful navigation of the demand environment just described. While our consolidated revenue declined by 7% compared to the same period last year, we also managed to reduce SG&A expenses by 7% or $3.9 million. In fact, all 3 segments saw improvements in SG&A, which started to take hold in Q2 and have been fully realized during Q3. I applaud our business leaders for focusing on this while not losing sight of repeating our strong history of coming out of uncertain economic times with larger market share. In other words, we have encouraged our leadership team to be especially cost-conscious. However, in areas where we have significant opportunity to drive long-term growth, we continue to aggressively invest. Next, let's talk about our largest segment, Branded Products. We experienced an 8% revenue decline due to factors we discussed on prior calls, such as sales pull forward, lower employee turnover among customers, smaller average order sizes, and delayed ordering. However, when we consider combined second and third quarter results, branded products revenue has, in fact, increased compared to last year, supported by a stronger pipeline and order backlog. That is something truly remarkable when you consider the macro headwinds. As shareholders, you need to know that we remain laser-focused on expanding our market share in this attractive, highly fragmented market. Our strategy continues to include recruiting more sales representatives as well as developing and leveraging software automation to make sales representatives and customer interactions more efficient. These initiatives will drive the acquisition of new accounts and help expand our wallet share within our existing customer base. Next up is Healthcare Apparel, which saw a 5% decline in revenue relative to the third quarter of 2024 as macro uncertainty weighed on both our wholesale-related consumer channels and institutional health care apparel. Recognizing the softness in demand, we reduced expenses while continuing to invest in demand-driven activities to support our Wink and Carhartt licensed brands. These efforts are not only resulting in the growth of our own direct-to-consumer channel, but also an increased footprint in the retail stores of certain wholesale customers that will provide an opportunity for further growth as the economy heats up when uncertainty dissipates. The healthcare apparel industry has significant secular growth drivers on which we are well-positioned to capitalize over time. Turning to our third business segment. Contact center revenue declined 9% relative to the third quarter of 2024. Consistent with the prior quarter, the downsizing and loss of existing customers outweighed new customer growth as prospective customers are slow to commit, given the economic uncertainties that I described. Despite the short-term effect, our pipeline remains strong, and we're beginning to realize new customer conversions. I'll wrap up by mentioning that our balance sheet remains strong, which Mike will provide even more details on in just a moment. This allows us to wisely invest and strategically execute our plan to profitably grow market share across our entire business. With that, Mike will now walk us through a more detailed review of the third quarter results before Mike, Jake, and I take your questions. Mike?
Michael Koempel: Thank you, Michael, and thanks, everyone, for being with us today. Our third quarter consolidated revenues came in at $138 million, up 7% relative to the year-earlier period. Branded Products, our largest segment, produced revenue of $85 million, down from $93 million in the year-ago period. As we mentioned in August, this was due to $8 million in timing of orders delivered in the prior quarter in order to navigate the tariff environment, as well as lower sales volume and pricing related to certain customers. These decreases were partially offset by a $2.9 million increase resulting from revenue generated by 3 Point following the acquisition in December 2024. Our next largest segment, Healthcare Apparel, had revenues of $32 million, a 5% decline relative to the third quarter of 2024 from lower volume with certain customers due to heightened wholesale and retail customer uncertainty. Revenue for contact centers was up 9% to $23 million for the quarter, driven by lower volume, as Michael previously described. Despite the short-term challenges, our sales efforts and competitive differentiation across all 3 of our businesses continue to make for robust pipelines of business. And we're confident that once market conditions normalize, we will be able to capitalize and drive profitable growth, leveraging our existing investments and recent cost reductions. Our consolidated third quarter gross margin of 38.3% was down from a peak of 40.4% in the year-ago quarter, but sequentially consistent with the second quarter. The Branded Products segment's gross margin rate of 34.8% was down 140 basis points, driven by customer sales mix. The Healthcare Apparel segment's gross margin rate of 38.5% was down from a peak margin of 41.8% in the year-ago quarter due to product cost reductions last year, but its margin rate is up sequentially from the first and second quarters. While the gross margin rate for contact centers of 52.9% was consistent with the prior quarter, it was down from 54.9% last year, driven by higher agent costs and unfavorable margin mix associated with the closure of our Jamaica center. Overall, we improved third quarter SG&A expenses year-over-year by $4 million to $48 million, resulting in SG&A as a percent of sales of 35%, flat to the year-ago quarter despite the quarterly sales decline. SG&A costs declined across all 3 segments, driven by lower employee-related costs, cost reductions initiated in the second quarter, and a credit loss reserve recognized in the contact center segment in the year-ago quarter. Based on these results, our overall EBITDA of $7.5 million was up sequentially from $6.1 million in the prior quarter, although still off from $11.7 million in the prior year. Again, our growing pipeline of new business enterprise-wide suggests that as sales conversion improves, we should be able to generate attractive, profitable growth given our improved cost structure. Moving on to net interest expense. This was $1.4 million for the third quarter, improved from $1.6 million a year earlier, reflecting a lower weighted average interest rate. And turning to the bottom line. We generated net income of $2.7 million, up sequentially from $1.6 million in the second quarter, but down from $5.4 million in the strong year-ago quarter. This equated to earnings per diluted share of $0.18, up from $0.10 in the second quarter but compared to $0.33 in the third quarter of 2024. Our balance sheet remains healthy as we continue to maintain a strong cash and cash equivalents balance, which was $17 million as of the end of September. Therefore, the combination of our cash and cash equivalents plus the available capacity under our revolving credit facility provides SGC with over $100 million of liquidity to execute our growth plans while continuing to return capital to our shareholders, such as through our quarterly dividend and our share repurchase authorization, which had approximately $12 million available as of September 30. I'll close our prepared remarks with an update to our full-year outlook. Specifically, we're tightening our revenue outlook, resulting in a new range of $560 million to $570 million compared to the previous range of $550 million to $575 million, translating into a higher midpoint and slight growth year-over-year at the high end of our range. As we've mentioned earlier, while the growth environment remains subdued across our 3 businesses, our pipelines remain strong, and we are focused on converting these pipelines while maintaining expense discipline. The investments that we've made to date have positioned us for growth as economic uncertainty dissipates and will enable us to capture additional market share across our 3 attractive lines of business. With that, operator, Michael, Jake, and I will be happy to take questions. If you could please open the line.
Operator: [Operator Instructions] And our first question today comes from Michael Kupinski from NOBLE Capital Markets.
Michael Kupinski: First of all, congratulations on your impressive SG&A reductions, pretty impressive in a challenged environment. A couple of questions. First of all, on Branded Products, you just -- can you just kind of describe the environment? Is it kind of one of hesitancy in buying, and kind of like the shifting sands of trade policy? Or do you feel like you're kind of getting back towards a more normalized environment?
Michael Benstock: It's a great question. This is Michael. I'm going to turn it over to Jake since he's with us today. As I said, Jake is the President of our largest segment, our Branded Products segment. So Jake, take it away.
Jake Himelstein: I would say that the market has been challenged over the last couple of quarters because of the tariff environment. Look, in an industry where large proportion of stuff that we're bringing in comes from overseas. Tariffs are clearly going to have an impact. And so macroeconomic uncertainty, tariff-related volatility, it does exist, and it influences customer behavior. So clients are being selective about where they place their dollars, focus on value and speed to market. So the new tariff announcements that came out over the weekend are definitely positive. We see that across the organization. They're a positive announcement that will hopefully normalize things a bit and provide some stability. And when we see things like this come when there's a little bit more certainty, orders follow quickly behind. And so we talk to our clients really weekly about these updates and already hearing very positive things. The nice thing about where we're positioned versus our competitors is we are proactive from the start and been very, very, very communicative with our clients on this. lean into demand where it existed, been able to source things in lower tariff jurisdictions, and expand share of wallet with customers because we're at the forefront and talking to our customers day in, day out about what's going on, not just bearing our heads in the sand. So we've actually seen it as an opportunity to build pipeline and build a backlog, which we've done to date.
Michael Kupinski: If you don't mind, if I can squeeze in a couple more? I believe in the last quarter, you mentioned that you purchased inventory for Branded Products in healthcare in advance. I was just wondering where you are in working off that inventory, and maybe kind of give us your thoughts on potential cost increases of inventory going forward.
Michael Benstock: Why don't you jump on the branded product side of that, Jake?
Jake Himelstein: As it relates to inventory, we've been opportunistic where we can bring in inventory from lower tariff jurisdictions and have them on the shelves or bring them in from domestic sources. We've done that. So there are some instances where we've said, look, tariffs are high from outside jurisdictions. We'll bring them in from domestic sources and sell Maiden USA products. We've been opportunistic about that, but try to be smart about it and really work as partners with our clients to tell them, hey, look, this is an area where we should slow down buying, or we should speed up buying and build up inventories in certain instances. So for us, it's really about communication, and there are certain instances with clients where it makes sense to build up a larger inventory position. And there are certain instances where we say, hey, we should hold off right here, and we should wait to see what happens. Like a month ago or a couple of weeks ago, when the 100% tariff announcement came out of China, we told our clients to pause and wait and see what happened. And sure enough, now, a couple of weeks later, we're in a better environment where we are picking up some of the inventory buys to fill that backlog.
Michael Benstock: And then, Michael, this is Mike. On the healthcare side, this is really where we're able to leverage the advantage of our Haiti sourcing as a company, because in terms of duty, certainly more advantageous than other countries. So on the health care side, we really didn't have too much of a, what I'll call, prebuild in advance of tariffs. because we're able to leverage the advantage of Haiti. And then just in general, in terms of managing the tariff pressure in general, just as Jake has done, our healthcare business has also been able to adjust pricing to offset the tariffs that we are incurring with respect to Haiti and some of the other locations where we're sourcing our healthcare product.
Michael Kupinski: And sorry for my last question here. I know that in the last quarter, you indicated that you lost a client in the call center and that it would impact this quarter. I was just wondering if you can quantify that impact and then maybe just talk a little bit about the pipeline and if you kind of think whether or not you might see kind of swing towards growth in that call center business, and maybe give us your thoughts about that pipeline.
Michael Benstock: Sure. The impact of the solar customer on an annualized basis about a couple of million dollars on an annualized basis. With that said, that business is still going through a transition. So it's quite possible that there's an opportunity for us to grow or retain portions of that business. So that's a little bit of a moving target as we speak, but that will just kind of give you, Michael, some just general sense of the impact. As it relates to the contact centers, it's really, I would say, consistent with what we've described in the previous quarter and also mentioned in our prepared remarks. We're still seeing what I would call elongated decision-making. We are starting to see, what I'll say, some green shoots. I mean, as companies are feeling the pressure to get efficient as they're looking for opportunities to improve margin, we're starting to see some movement in the pipeline that we have, which we believe will benefit us in 2026.
Operator: And our next question comes from Jim Sidoti from Sidoti & Company.
James Sidoti: Can you talk about your pricing power? Do you think you'll be able to maintain price or approximately increase price over the next couple of quarters? And where do you think that goes?
Michael Benstock: Jake, do you want to start with Branded Products, and then I can jump in on the other segments?
Jake Himelstein: Sure, Jim. So we've been able to increase pricing in spots where costs have increased. So if you look at the Branded Products segment, the majority of the segment has orders that are priced to order. So someone orders a product, and then there's a price that goes along with it for that specific order. And so if there's tariffs associated with it or there's additional duties or general cost increases, those typically get passed along to customers. And it might hurt the overall buying power, or how much someone is buying, or the customer behavior. But typically, those prices are getting passed through. On longer-term contracts that have set pricing, we have largely put through pricing increases to offset the impact of tariffs. And in very, very rare instances that we've been forced to eat the cost of those tariffs. But as public as it is, everyone sort of knows the environment we're in, which has allowed us to pass through virtually all of those cost increases to our customers.
Michael Benstock: And then, Michael -- I'm sorry, Jim, on the health care side, we initiated price increases starting in July and then again in August. So what we did see in the third quarter is that we were able to largely offset the tariff impact in Q3. You might recall, we did have a tariff impact in Q2 because the tariffs were implemented before we put price increases in. So we had sort of an initial impact. Our expectation going forward would be that we can continue to offset those tariffs, obviously, depending upon whether the tariff environment changes. But based on what we know today, we would expect to continue to be able to offset that pressure in healthcare. In the contact center business, obviously, you don't really have the tariff impact. And so not really any changes, I would say, from a pricing standpoint as it relates to our contact center business.
James Sidoti: And then if I take the midpoint of your guidance, it looks like your revenue will be up about $7 million sequentially in the fourth quarter. Do you think that's primarily in the Branded Products business? Or is that spread throughout Branded Products and healthcare? And is that just the normal seasonality that you're factoring in?
Michael Benstock: Jim, it would be primarily related to the Branded Products segment. And maybe, again, I can just push it over to Jake to sort of highlight a couple of the drivers there.
Jake Himelstein: Thanks, Mike. Bookings are strong, Jim. The pipeline is strong, a lot of new opportunities. As I mentioned before, in an environment where a lot of our competitors are kind of turning their head or paring their head in the sand, we're getting a lot more aggressive. So while conditions are unsteady or uneven, we're seeing really good activity levels across key accounts. And as we continue to bring on new accounts, we feel very good about the prospect for the future, right? Our customer attrition is extremely low. And what that means is that revenue on a client-by-client basis can vary based on a number of factors, right? It can go up or down based on macroeconomic, employee turnover, the company, our clients' performance. But as we continue to add more logos or add more clients to our roster, as things get more normalized and recover, we're just going to see more and more revenue come along with those new logos.
Operator: Our next question comes from Keegan Cox from D.A. Davidson.
Keegan Tierney Cox: I was just wondering if you could give any color on your sales trends kind of by month, or what areas you're seeing strength in each segment?
Michael Benstock: Keegan, this is Mike. I'll take your question. What I would say about the fourth quarter is that we would see sales building month-to-month, with December really being our largest month. And I would also -- back to the prior question, what we're seeing and expecting is a build from Q3 to Q4, really in the Branded Products segment for the reasons that Jake articulated.
Keegan Tierney Cox: And then I guess my follow-up would be, what are you guys seeing on the acquisition opportunities at the moment? I know you kind of talked about a better environment, and you guys seem to hold on to cash this quarter. So wondering what your view is there.
Michael Koempel: I would say it's a very rich playing field. There's a lot out there. Always with uncertainty comes a lot of people decide this may be the time to call it quits and be part of a larger organization, or they back want to cash in and take some of their chips off the table. No different. It's become more and more prevalent. And I would say valuations are not at their highest, which is good for a buyer. We're looking at a lot of decks that come across our tables. I know Jake is -- there's a few every single week. And unfortunately, we have to kiss a lot of frogs along the way. And we have a very specific criteria for what we're looking for. And if it doesn't meet that criteria, we quickly take a pass on it. We do get into some deep discussions along the way. And sometimes that helps us learn more about the whole process and who else we might be approaching and what other verticals they may be in, which could be helpful to us. But we're -- I can tell you, we're being as aggressive as we need to be. I don't think it's about conserving cash for any period of time. Our leverage ratios are very much in line for us to do an acquisition now or any time for the rest of this year or next year, but it's got to be the right deal. So clearly, we've said in the past that most of that opportunity is going to come from the branded products side of the business; having 25,000 competitors makes that a richer playing field. We would be looking on the contact center side for businesses like us that were smaller than us, more, I would call them mom-pop shops that may have a great geography serving verticals that we don't service that could get us into some new types of business. But mostly, we'd be looking for the right geography that would be a lower-cost geography. There's plenty like that. They're a little bit harder to uncover. I think Jake could probably get a list of the 25,000 competitors tomorrow, whereas on the call center side, that data really doesn't exist quite in the same format. And a lot of people -- for a lot of people, they have 1, 2, 5 customers, and they've made a business out of it, but they made a good business out of it. So I'm spending a lot of my time now that Mike is President on the acquisition side. And I would expect that we'll see something happen in the next year for sure.
Keegan Tierney Cox: And if I can sneak one more in, and I might have missed this on the call, but how much did the cost savings program help this quarter?
Michael Benstock: Sure. The cost savings, so when you look at -- we had about $4 million in reduction in G&A. And I would say about half of that was related to our cost savings. And as Michael said in his prepared remarks, those have been fully executed, phasing in, and all of those are currently executed and driving benefit for us each month.
Michael Koempel: Yes. We said a couple of quarters ago that we anticipated on an annualized basis against budget that we would save $13 million. So some of the savings had to do with us not spending money that we had intended to. And so about half of that is against actual results.
Operator: And ladies and gentlemen, at this time, we will be ending today's question-and-answer session. I'd like to turn the floor back over to Michael Benstock for any closing remarks.
Michael Benstock: Thanks, operator, and thanks, everyone, for being on today's call. We certainly appreciate your interest in Superior Group of Companies. I want to thank Jake for joining us today. I think he's able to give insights that really was very, very clear. I want to congratulate Mike again for his ascension to President of SGC. I'm very excited about that. We'll continue, I can assure you, to make strides across all 3 of our very attractive businesses, positioning SGC for the creation of significant shareholder value over time. Look forward to seeing many of you during the many upcoming conferences and road shows that we'll be doing. And in the meantime, please don't hesitate to reach out with any additional questions. Thanks again for your interest.
Operator: Ladies and gentlemen, with that, we'll conclude today's conference call and presentation. We thank you for joining. You may now disconnect your lines.